Operator: Welcome and thank you for standing by for Newmont Mining Corporation Q4 2008 Earnings Conference Call. At this time all participants are in a listen-only mode. (Operator Instructions). Today's conference is being recorded. If you have any objections you may disconnect at this time. I would now like to turn the call over to Richard O'Brien, President and CEO.
Richard T. O'Brien: Thank you, operator. Good morning, everyone. Thank you for joining us on our conference call today to discuss Newmont's financial results for 2008. With me in the room today are several members of management team who will also be available for questions at the end of the presentation. Before we get started, as we always do, I need to remind you that we will be discussing forward-looking information involving a number of risks, certain of which are unique to our industry as further described in our SEC filings. Turning to slide three, for those of you with access to our simulcast presentation, when I became CEO of Newmont in July 2007, we committed ourselves to reestablishing Newmont's credibility by delivering results inline with our plans and market expectations, with a focus on operational and project planning and execution. For our management team we embrace the need for a new day dawning at Newmont. As we turn our attention to 2009 and beyond we believe that the day has done for our company as we shift our focus to building on the momentum we've established over the last 18 months. And you can see that illustrated on the top half of our corporate score card on this side. We also remain focused on the bottom half of this score card highlighting the key items that we still need to work on and execute. As shown on this slide, we focused our efforts in 2008 on establishing safe and environmentally sound operating performance within expectations, highlighted by delivering on our original plans for gold sales, cost applicable to sales, and the capital expenditures. And early this year we improved our production and operating cost profile with the acquisition of the remaining 33% of Boddington from Anglo Gold. We're excited about this project and our ability to consolidate this world class asset. I'll speak more specifically about these transactions later in the presentation. At the same time we made the Boddington acquisition we capitalized on the opportunity to increase our financial flexibility with $1.7 billion issuance from stock and convertible debt. We're grateful to our investors for their confidence in our strategic direction. And acknowledge that we must provide disciplined stewardship for the capital the market has provided us. In 2009 we remain committed to delivering on our operating plans and to doing what we say we're going to do. This is a corner stone of how we operate our business. In addition during the first half of this year we'll focus on completing Boddington which remains on schedule for a mid 2009 startup. We'll also continue to work to resolve the Batu Hijau divestiture issues. Arbitration panel deliberations are continuing and we expect the decision in the first half of 2009. As we have said all along Newmont remains committed to our divestiture obligations as outlined in the contract to work. We'll continue to keep you informed as the arbitration process unfolds. Throughout 2009 we will also continue to actively evaluate and pursue the best available internal and external investment opportunities to sustain and grow our business. Internally we're continuing work on Conga in Peru, Hope Bay in Canada, and Akyem in Ghana and externally we'll continue to look for opportunistic accretive acquisitions. Finally, during 2009 we'll redouble our focus on improving operational and business efficiencies throughout the organization through our one Newmont initiative with the goal of increasing efficiencies, reducing costs, delivering superior leverage to gold prices, and enhancing our financial returns. As the next slide 4 shows our 2008 highlights, we reported solid operating and financial results. During the year we sold approximately 5.2 million equity ounces of gold at cost applicable to sales of $440 per ounce. Capital expenditures for 2008 were approximately 1.9 billion, primarily related to Boddington which was about 825 million, Hope Bay where we spent about 82 million for the camp, road, and airstrip, completion of the Nevada power plant at about 40 million and completion of Yanacocha gold mill at about 40 million. With our focus on continued operational and project execution we were able to meet our original outlook for equity gold sales, cost applicable to sales, and capital expenditures for the year. Turning to the next slide our increase in gold margin in 2008 demonstrates our increasing leverage for the gold price. Over the year we realized an approximate 40% increase in gold operating margin despite challenging and volatile industry wide cost pressures. As mentioned earlier, we continue to pursue business and operating efficiencies across our portfolio as we strive for ongoing margin expansion. Our adjusted net income for the fourth quarter was $0.26 on operating performance that was in line with our expectations for the quarter. Adjustments to net income include the previously announced approximately $140 million write-down of felk (ph) and our marketable securities. In addition, during the quarter we incurred a negative mark-to-market of approximately $90 million related to provisional copper sales or about $0.05 after tax. Our adjusted net income for the quarter was 905 million, for the year was approximately 905 million or a $1.99 per share. This represents a 50% increase from the prior year of 600 million or $1.33 per share. On a GAAP basis we reported net income for 2009 of 853 million or $1.88 per share. These results were adversely impacted by a pre tax write down of marketable securities and other assets of about $235 million for the year. Shifting now to our reserve base illustrated on slide 6, including the Boddingtons acquisition announced earlier this year, our equity pro forma reserves net of depletion increased approximately 6% over the prior year. With the addition of 6.6 million ounce bringing our pro forma reserves to approximately 92 million ounces on January 1, 2009. We also increased our non reserve material by approximately 40% from the prior year. As you'll note on this slide 60% of our reserves are anchored in geopolitically stable Australia, North America. As I had mentioned on previous earnings calls during my tenure as CEO, I'm committed to refocusing this company, providing a solid foundation and creating future growth opportunities. Turning to slide 7, as we mentioned on our third quarter 2008 earnings call, due to continued turmoil in the commodity and financial markets, we revaluated our 2009 business plans to conserve our short-term cash flow and preserve our long-term growth options. Notwithstanding that focus as you can see on this slide, we anticipate increased equity gold sales at lower cost and with lower capital. So we anticipate an increase in our 2009 equity gold sales primarily as a result of the start up of Boddington accelerating Phase V mining at Batu Hijau and the full year of operation at the gold mill at Yanacocha. The start up at Boddington and increased production of Batu Hijau are also expected to reduce cost applicable to sales in 2009 partially offset by higher cost in Nevada. With the completion of the Nevada power plant and the Yanacocha gold mill in 2008 as well as the declining spend for Boddington in 2009, we anticipate lower capital expenditures of between 1.4 billion and 1.6 billion for the year. Looking at our regional expectations on slide 8 for 2009 we expect higher gold sales as well as lower cost applicable to sales in Australia, Yanacocha, and Batu Hijau somewhat offset by lower expected equity gold sales and higher cost in Nevada. Focusing first on Nevada, equity gold sales are expected to decrease to between 1.8 million and 2 million ounces from 2.2 million ounces in 2008, primarily due to lower grades, fewer oxide leach pad additions and lower recoveries at Mill 6. Cost applicable to sales in Nevada are expected to increase to between 535 and 575 per ounce from $460 per ounce in 2008. This increase is primarily due to reduced gold sales and lower byproduct credits from Phoenix copper sales as a result of lower copper prices. Partially offset by lower diesel cost and a full year of operations in the Nevada power plant. Equity gold sales in Yanacocha are expected to increase to between 975,000 and 1,025,000 ounces from 946,000 ounces in 2008, primarily due to gold mine -- to the gold mill being operational for the entire year. Costs applicable to sales are expected to decrease to between $290 and $310 per ounce from $346 per ounce in 2008, primarily due to increased gold sales, lower assumed diesel cost, and increased sober byproduct credits. In Australia, equity gold sales are expected to increase to between 1.5 million and 1.6 million ounces from 1.2 million in 2008, primarily due to the start up of the Boddington project in mid 2009 and the acquisition of the remaining 33% interest from Anglo. Boddington should add between 375,000 and 450,000 ounces in 2009. Costs applicable to sales for the region are expected to decrease to between $440 and $480 per ounce from $552 per ounce in 2008, primarily driven by the start up of Boddington, lower cost at Kalgoorlie, and lower diesel cost in Australian dollar assumptions. At Batu Hijau, equity gold sales are expected to increase to between $225 and $250 an ounce, up from 135,000 ounces in 2008. The increase is primarily due to mine sequencing as the mine shifts into the higher grade phase by order in 2009 and because mining in 2008 was constrained due to the abnormally higher rainfall that occurred in the first quarter. Costs applicable to sales are expected to decrease to between $240 and $260 per ounce, down from $414 per ounce in 2008, primarily driven by higher expected sales and lower waste removable cost. Equity gold sales at Ahafo were expected to remain stable to between 500,000 and 525,000 ounces in 2009. Costs applicable to sales are expected to increase to between $450 and $475 per ounce from $408 per ounce in 2008, primarily a result of higher labor cost, a lower benefit from the capitalization of waste removable used in the construction of assets, and a higher fuel price assumption. Slide nine shows -- highlights our capital spending outlook for 2009. In Nevada, capital expenditures are expected to decrease to between 230 million and 260 million with spending focused primarily on sustaining capital investments. In South America, capital expenditures are expected to decrease to approximately 180 million to 200 million with spending primarily focused on sustaining capital investments, the Hiawassee bypass road, and water treatment facilities. In Australia capital expenditures are expected to decrease slightly to 875 million to 925 million, with about 750 million of that spending attributed to the remaining development cost of Boddington. The company continues to expect Boddington to start-up in mid 2009, with total capital expenditures of between 2.6 billion to 2.9 billion. Our Batu Hijau capital expenditures in 2009 are expected to decrease to between 45 million to 55 million with spending focused primarily on sustaining capital. In Ghana capital expenditures are expected to be approximately 80 million to 90 million, primarily related to sustaining capital investments as well as continued development cost to achieve. Slide 10 illustrates our project pipeline and where each project currently fits within our stage gate frame work. I won't go into detail on each of these but I do want to emphasize that this pipeline with its mix of both large and small scale development opportunities gives us a good portfolio of development opportunities that we can pursue and provide value. At the same time, it does give us significant flexibility which we've taken advantage of in 2009 to manage our liquidity, maintain our financial strength by selectively advancing our best available projects, and maintained options. As we've discussed before, all of our investment opportunities both internal and external benefit from our capital effectiveness process, ensuring disciplined capital spending and overtime higher returns on investments from our portfolio of assets. Turning to slide 11, we have recognized that replacement is imperative for Newmont's future. In this challenging commodity and financial market environment, we chose to delay certain Stage Gate decisions in late 2008 in order to conserve our capital while preserving our options for development. For our Congo project in Peru, we are now concentrating our efforts on development and cost optimization with the Stage Gate 3 decision expected in fourth quarter of this year. We're already seeing some potential for capital cost reductions as the market for EPCM contractors, construction related materials, labor and operating costs have cooled off from mid 2008. Regarding our Hope Bay project in Canada, in 2008 as you know we focused our efforts on establishing a safe camp and improving the infrastructure. In 2009 we're advancing an exploration campaign with the Stage Gate 2 decision expected early next year 2010. At Akyem in Ghana, we've been working steadily over the past year with the Ghana EPA, the Minerals Commission, and the Ministry to finalize the necessary permits and lease. The EPA has now granted our permit and we continue to work with the Minister of Mines to finalize the mining lease. As we've discussed with Canadian officials and as we've mentioned to you previously, we've deferred our Stage Gate 2 decision on Akyem while we work with them towards resolution of our long-term cost competitive power solutions. We'll continue to optimize the mine plan this year as we prepare for the Stage Gate review. And again, if we move in the existing more favorable construction environment, we should expect cost to be reduced from our prior estimates. In Nevada, the Gold Quarry West Wall layback project is currently expected to add up to six years to the mine life of gold quarries. We anticipate reserve conversions during 2009 with the Stage Gate 3 decision in the latter part of the year. Also in Nevada, our Turf project, we're really going through a further resource definition and that's planned for this year and that project is progressing through our Stage Gate process. Both of those projects are part of our Nevada growth initiative. Turning to our acquisition of the remaining 33% interest in Boddington, we've announced that earlier this year, projected mine life of over 20 years, a transaction which is consistent with our strategic focus on enhancing our production profile with long life, low cost assets. We expect costs applicable to sales will be approximately $300 per ounce and that of copper byproduct credits over the first five years of operation. This will put Boddington in the lowest quartile the gold pass curve for the industry. This acquisition adds 6.6 million ounces to reserves, will contribute approximately 330,000 ounces of gold production during the first full five years of production. In closing, our company continues to operate under extremely difficult economic conditions, the commodity price volatility and uncertainty, mass portfolio liquidation, global inflation, and limited if any access to capital. As I said previously though, it's an ill wind that doesn't blow somebody some good and I believe that Newmont is in a position to get some good out of this. We're well positioned to respond to this market uncertainty with a strong liquid balance sheet as a result of our recent equity and convertible debt offering. We still maintain a strong investment grade rating. We have an attractive project pipeline that rests within a disciplined Stage Gate framework. And as you can see in 2009, that framework allows us maximum flexibility in the preservation of optionality with respect of the timing of the development of our next major project. As with our Boddington acquisition, we'll continue to evaluate the acquisition landscape to be opportunistic if and when an accretive acquisition arises that adds value for our shareholders. We delivered operating performance consistent with expectations during 2008. We know and we will continue to know the job number one is that we do that again in 2009 and beyond. We acknowledged that we still have a great deal of work to do to achieve our goals. Operating our business with focused discipline is at the heart of our company. During 2009, we'll continue our diligent efforts to drive business and operational efficiencies through standardization, continuous improvement, and strategic alignment across our global portfolio. And with that, I want to thank you for listening today and open it up for any questions.
Operator: Thank you. (Operator Instructions). Our first question comes from John Bridges from JP Morgan.
John Bridges - JP Morgan: Hi there everybody. I wonder if you could give us a little bit more clarification on where you are going with Conga and how you see that transition from the oxidized to the sulfides there?
Richard O'Brien: Sure, with respect to our 2009 development plans, a couple of things are going on at Conga and Yanacocha. At Conga as I mentioned, we continued to optimize the project cost as we look at the go forward economics. We continue to look at working in the regions with others to try to define the infrastructure necessary to support several mines in the region. With respect to the sulfide, in 2009 we continue definitional drilling under the existing pits at Yanacocha and around the existing pits to better define the prospects that we have for development there. We continue to think that there is development opportunity there, we need to do some more drilling this year and next before we can put the economics together to fully justify the investment in that kind of project. So, we are active on both of those John and we'll continue to keep you informed as we get further results.
John Bridges - JP Morgan: Yes, I got the impression that it was something that would toss up at one some stage, whether you went to Conga, whether you went deep or at Yanacocha?
Richard O'Brien: Yeah, I think its fair to say, probably not toss up, but it is really how do we optimize the two projects at the same time. Yanacocha obviously continues to have an asset life which will be concurrent with Conga. So one of the things that we're really trying to imagine is the best way to develop both projects, deliver the best return over the entire Yanacocha district. And it is a big district, we do have to manage social expectations within the district, and I think the pace that we go at with respect to exploration drilling and development will be somewhat dependent on our expectations for the amount of capital that we will need to spend on both projects.
John Bridges - JP Morgan: Is there any hope for new technology to produce metal from sulfides at the mine site rather than shipping everything up?
Richard O'Brien: John, it is all we hope. The realization of hope to opportunity is actually something that we're focused on this year and beyond. Part of what we've done in the last part of 2009 -- 2008 rather is really to reorganize the front end of our business under Guy Lansdown and Guy has put forth an effort towards reestablishing innovation as an important part of what we do at Newmont. And I know that right up there on the list in addition to the mine of the future is the opportunity for us to look at bringing newer technology into this. So, it is something that we're looking at.
John Bridges - JP Morgan: Okay, great. And many thanks, great results, well done, thanks.
Richard O'Brien: Thanks John.
Operator: Our next question comes from Victor Flores from HSBC.
Victor Flores - HSBC: Thanks, good morning. I have a few questions with respect to Hope Bay. Could you tell us how much was spent at Hope Bay during 2008 and how much of that was to upgrade the infrastructure and how much of that was actually drilling out the resource?
Richard O'Brien: Yeah, I am going to ask Guy Lansdown to answer that question.
Guy Lansdown: Good morning Victor. The focus as Richard said last year was on setting ourselves up to operate safely and environmentally compliance and to build a team. So the bulk of that spend last year was on infrastructure which included upgrading our JD, roads, camps and other infrastructure and that was about $80 million, $82 million was actually the number we ended up spending on it. As far as the remainder of the expenditure went, we spent about $40 million on combination of exploration and study work. And our focus going forward would be on an aggressive exploration program and continued work on optimizing and value adding certain options for the project.
Victor Flores - HSBC: Can you tell us how much you are planning on spending this year?
Guy Lansdown: Yeah, we are looking at spending around $50 million to $60 million between study work and exploration work, and again a big effort on an aggressive exploration program focusing on drilling and identifying targets across the district.
Victor Flores - HSBC: Okay. Now I see from the slides that for this year you are planning 35,000 meters of drilling which for a project of this scale seems like a fairly modest amount and it seems like if you are spending 50 million to 60 million, there is money going into other things than drilling because 35,000 meters should cost a lot lesser. Is that correct?
Guy Lansdown: Yes that's right on Victor. We actually said we want to spend, we are targeting more than 35,000 meters. It's a function of the number of drill weeks we've got up there at present as you might well understand that logistics are pretty tough. We can only work with what we've got at present and we're looking to maximize immediately as we get out of those drill weeks throughout the remainder of the year. But as you rightly pointed out, there is a lot of other work going on. As I said, identifying targets in the region and that I think is the various development options that we've got at our disposal.
Victor Flores - HSBC: Great, thank you. If I could just ask a quick question on Yanacocha, can you tell us how much of the production will come from the heap leach and how many tons you plan to put under leach, and how much will come from the mill?
Russell Ball: This is Russ. I'll get you that analysis later. I actually don't have that in front of me.
Victor Flores - HSBC: Okay. That's great, thank you Russ. Thank you, that's all my questions.
Richard O'Brien: Thanks Victor.
Operator: Our next question is from David Haughton from BMO Capital Markets.
David Haughton - BMO Capital Markets: Well good morning and thank you. Just following on from a little bit more break out on the CapEx expectation in 2009, what sort of CapEx are you expecting to spend on the development projects like Conga, Akyem and also Boddington in 2009?
Richard O'Brien: The Boddington number I think I gave 750 million of the 875 to 925 in Australia relates to Boddington. And most of that is related to just completing the current project getting it up running and getting the mills turning and producing. So there is really not any additional on capital at Boddington. We've already bought the trucks and most of that is just related to completion. With respect to Akyem, we're probably spending around $20 million or so during the year to continue to push that with respect to Conga probably $30 plus million to move that along this year and Guy gave you the Hope Bay project numbers.
David Haughton - BMO Capital Markets: Okay. Is the Conga number included in the Yanacocha kind of CapEx guidance that we've seen previous or is this just a separate number?
Russell Ball: Yes, David it is.
David Haughton - BMO Capital Markets: Okay. And with GQ West Wall, it seems to have accelerated very quickly from Stage 1 to Stage 3. I guess it's a Brownfield development which makes it easy. Can you give us a little bit of an idea as to what your production could be on a go forward basis?
Richard O'Brien: What the project does is that it extends the life of the mine. That's really the future CapEx or laybacks for the project again focusing on the long-term for Nevada. It wouldn't come into operation immediately but as you say we know the asset well and it is an extension. We put a lot of dollars into drilling around the pit to get better an understanding of the extent of it and it's really just going to add the mine life by six years or so.
David Haughton - BMO Capital Markets: Okay, does all of that layback fall within the newly acquired Franco royalty footprint?
Richard O'Brien: I can't answer that, I don't know for sure.
John Seaberg: David, this is John, I'll get back to you on that as far as much how much is in the property versus non property.
David Haughton - BMO Capital Markets: Okay. And with interest the progression at Batu Hijau, as far as going into the higher grade material, will we still see in 2009 the seasonality of moving into the bottom of the pit in the dryer second and third quarter or is this staging going to overprint that seasonality a bit?
Russell Ball: David, its Russell. At Batu we have and as you are well aware the second and third quarter is essential when we're able to get into the bottom of the pit. So the mine sequencing is really just a function of the wet season which ends roughly in April and starts up again in roughly October and it moves the month or so either side. So just as you saw this year our ability to access the high grade at the bottom of the pit is a function of the wet season. How long it comes and how much rain we get.
David Haughton - BMO Capital Markets: Okay, so as we are progressing into a much better year in 2009 we should still have more overloading in that second, third quarter than in the first and fourth?
Russell Ball: Absolutely.
David Haughton - BMO Capital Markets: Okay. Thank you very much.
Richard O'Brien: Could I just overlay on the answer of that question just a little bit about the Nevada projects that we're working on. As you've seen in the production estimates and cost estimates for 2009, we're seeing decline in Nevada. Brant Hinze and his team and Brian Hill, our Executive Vice President of Operations are really focused on providing a couple of things in Nevada. One is access to oxide, when we can find it as in the Gold Quarry West lay back. In addition to that as I discussed at Turf, we are looking at trying to extend the life of Nevada through higher grade additions underground. And so we have a number of things going on there, Brant and his team are focused on really trying to offset the decline in Nevada to reserve extensions and that's exactly as we talked about with respect to the Gold Quarry West Wall.
David Haughton - BMO Capital Markets: Thank you.
Operator: (Operator Instructions). Our next question comes from Mark Linamos (ph) from Morgan Stanley.
Unidentified Analyst: Hi. With some of the successes you've had over the last year, could you comment at all about whether you think there's opportunities to get more aggressive with growth or is it still best to think about the companies of five plus million ounce producers steady state? Thanks.
Richard O'Brien: Yes, I guess just as a highlight I know it's a small number but we actually are projecting growth this year. It's slight but there is little bit of growth this year and I think as we look out, you're exactly right. One of the things that we need to do is continue to sustain what we have and we have a number of things going on to try to make that happen. The Boddington and the purchase of a third from Anglo is really the key to us over the next year providing some growth. Beyond that, we have a number of things that we're going to need to complete including the additions of Conga and Akyem to help offset the decline that we have from our maturing assets at Yanacocha and in Nevada. So overall I think this company continues to rest around that 5.25 million ounce level and I think at that level with the continued exposure to a non-hedged gold portfolio, we continue to believe that if we can sustain that, provide the leverage that we have and extend our reserve life through other mechanisms, I think that's how you should view this company.
Unidentified Analyst: Great and any update on the metallurgical issues at Phoenix that you have been working on which you drove further?
Richard O'Brien: Yes, as we announced in the third quarter of last year, Brant Hinze and his team did a terrific job of bringing forward the Phoenix mine plan and at that time, we really did lock in a metallurgical program which over the really the first three quarters of 2008, the last half of 2007 really did define the metallurgy pretty well there. And I think as we said, we have clearly a little more exposure to copper there than gold when we redid the mine plan and because of that, one of the things that we're going to be watching at Phoenix is maybe less about the project in metallurgy recovery because its actually really right on top of plan at the current time. It's certainly going to be exposed to copper prices because that byproduct credit is going to be important to us in terms of keeping the cost down at Phoenix. So we're pretty confident in the mine plan, the team over there really took a lot of care during 2008 to come forward with the plan that they believe is deliverable. And as I've mentioned on just about every call, executing against our plans is really our number one objective when Phoenix came forward with their plan, they clearly understood that I expected they're going to deliver on it.
Unidentified Analyst: Thanks. And good luck with the rest of the plan this year.
Richard O'Brien: Thank you.
Operator: Our next question comes from Brian MacArthur from UBS Security.
Brian MacArthur - UBS Security: Good morning. I got on a little late so I apologize at this for that, but has the valuation for the sell down for 2008 and Batu Hijau have been done yet?
Richard O'Brien: For 2008?
Brian MacArthur - UBS Security: Yeah.
Russell Ball: Brian, Russ. We have an ongoing efforts to finalize that valuation and we'll be submitting it prior to the end of March to the Department of Mines and Energy.
Brian MacArthur - UBS Security: So that will happen before the arbitration is done?
Russell Ball: That's for 2009.
Brian MacArthur - UBS Security: Well sorry.
Russell Ball: Offsetting '08 valuations?
Brian MacArthur - UBS Security: Right.
Russell Ball: Yes, that valuation will be submitted by March 31, 2009 to the Indonesian government.
Brian MacArthur - UBS Security: Okay. Great, thanks very much.
Richard O'Brien: Pleasure.
Operator: Our next question comes from John Hill (ph) from Cambridge Environment (ph).
Unidentified Analyst: Great. Thanks for the very detailed presentation. Just curious with the improvement expected that too in terms of grades and volumes for 2009. Where are we on the over burdened storage and the forest issues, in other words volume breakthroughs on the negotiating front, how sustainable are these results?
Richard O'Brien: We haven't really made any significant progress with the advancing of pinjam pakai permit, and that is still an issue that we're trying to keep moving forward. Part of our plan now, we're actually in Phase V, we don't have any real significant stripping left to do in Phase V. Most of where we're at with the production plan is, its either going directly to the mill or its going on to the various stock piles we have. What's really more of the issue around the permit is looking at the next phases of expansion which would be going in to Phase VI.
Unidentified Analyst: Great, thanks. And then just a quick follow up on Phoenix, obviously a lot of work on the metallurgy and there is some chemistry in there. How about the real basics, how are we doing on the crushing plant and throughput there?
Richard O'Brien: Yeah, we got the new crusher up in the fourth quarter of last year. Everything seems to be operating just as we planned. And throughputs actually I think really again right on plan. For Phoenix, maybe even a little bit higher than planned.
Unidentified Analyst: So right now throughputs is at design and recoveries are also at I guess revised targets?
Richard O'Brien: Yes, yes, pretty much, you know, and we're two quarters into it right. So really it's going to take sometime to shake it out, make sure it stays there. But for right now things look to be the way that we had imagined them to be.
Unidentified Analyst: Well it's been a long road there. So, good work. Thank you.
Richard O'Brien: Thank you to Brant and his team over there.
Operator: (Operator Instructions). Our next question come Wayne Atwell from (inaudible) Capital.
Unidentified Analyst: Good morning. Could you pass on your thoughts about the portfolio review in the sense that properties that maybe just don't fit into your portfolio, the grades aren't high enough, the costs aren't correct, too small and that you might be planning to put on the market and make it available to someone else and what kind of proceeds might you generate?
Richard O'Brien: Yeah, I think at the present time I would say, we have a portfolio of projects that we stand pretty pat on. We last year sold out probably the last of the underground facilities in Nevada, sorry in Australia that we care to sell off. The others we believe we continue to have pretty good reserve life in front of us with some more definitional drilling, obviously on the underground. KCGM in Australia, we're working closely with that to make sure we come up with the optimal plan there. We'll continue to evaluate that one. But I think otherwise around the world we feel pretty pat with where we are with our portfolio right now.
Unidentified Analyst: Thank you.
Richard O'Brien: Alright, so with that I want to thank you all for your attention and I appreciate the effort that you guys make to continue to follow the company. Any questions, I know John, Russ others will be available for you after the call. Thanks.
Operator: This concludes today's conference call. You may disconnect at this time.